Operator: Welcome to the today's First Quarter 2020 JinkoSolar Earnings Conference Call. Please note that all participants will be in listen-only mode for the first part of this call and afterwards, there will be a question-and-answer session. Now, I'm pleased to present Ms. Ripple Zhang. Ms. Zhang, please begin.
Ripple Zhang: Thank you, operator. Thank you everyone for joining us today for JinkoSolar's first quarter 2020 earnings conference call. The Company's results were released earlier today and available on the Company's IR website at www.jinkosolar.com as well as on Newswire services. We have also provided a supplemental presentation for today's earnings call, which can also be found on the IR website. On the call today from JinkoSolar are Mr. Chen Kangping, Chief Executive Officer; Mr. Charlie Cao, Chief Financial Officer; and Mr. Gener Miao, Chief Marketing Officer. Mr. Chen will discuss JinkoSolar's business operations and company highlights, followed by Mr. Miao, who will talk about sales and marketing, and then Mr. Cao, who will go through the financials. They will all be available to answer your questions during the Q&A session that follows. Please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding this and other risks is included in JinkoSolar's public filings with the Securities and Exchange Commission. JinkoSolar does not assume any obligation to update any forward-looking statements, except as required under the applicable law. It's now my pleasure to introduce Mr. Chen Kangping, CEO of JinkoSolar. Mr. Chen will speak in Mandarin, and I will translate his comments into English. Please go ahead, Mr. Chen.
Chen Kangping: Thank you, Ripple. Good morning, and good evening to everyone, and thank you for joining us today. Total shipments of solar modules during the first quarter were 3,411 megawatts excluding the impact of the disposal of overseas solar power plants. This quarter generated total revenues of $1.03 billion and the gross margin of 19.7% all within in our guidance range for the quarter. The COVID-19 pandemic impacted the solar industry, creating numerous challenges from difficulties, obtaining supplies of raw materials to logistics and transportation disruptions. Despite all these challenges, we are still successfully achieving the highest historical shipments in the first quarter which we believe demonstrate our strong ability to execute and incorporate flexibility to carefully navigate and adapt to our difficult global economic environments. Thanks to containment efforts across the country. All our factories in China have reached full production in much. The major challenges so far during the first -- second quarter has been overseas demand. The pandemic had impacted logistics to varying degrees and that caused project delays in most overseas markets. In Malaysia, we immediately implemented measures to ensure the healthy and safety of our employees while at the same time complying with government containment measures. This rapid response has brought our production back to normal safely by the end of April. We replicated this healthy and safety measures for our employees in the U.S., and we're able to keep production running smoothly throughout the pandemic with the global demand falling significantly and the price of raw materials declining as a result of the pandemic. We focused our attention on coordinating production logistics and sales to issue or recruit to fulfill new orders while carefully controlling inventory levels. Shipments of epidemic prevention materials continue to be made from China to our Malaysia and the U.S. facilities. We have been doing all we can to care for our employees, clients, suppliers and other business partners during the challenging time. Recently, China's Ministry of Industry and Information Technology began seeking public opinion for its draft standard conditions of the PV manufacturing industry. The draft consultation will be used to raise the standards for new viewed production facilities in order to promote the application of new clean technologies. Under this new standard, all existing production facilities will be required to implement industrial integrations and accelerate the replacement of outdated equipment and infrastructure. This will help accelerate the industrial application of the new technologies and will penetrate and strengthen leading manufacturers, as they expand to scale. In addition, policies governing the construction of ultra-high voltage projects and grid absorption capacity expansion will support the long-term development of the industry. We believe governments around the world will increasingly run their focus to energy security and localization. Especially after the COVID-19 pandemics, due to the continued enhancement of the competitiveness of solar energy over traditional energy and the acceleration of global parity cost by the fall in the price of industrial trend during the epidemic, which will result in more countries implementing policies to support solar energy and will drive its deeper penetration in the post-pandemic era. In 2020, excess supply in the market will rapidly drive outdated production capacity out of the market and accelerate application of technology that will better reduce levelized the cost of energy. Smaller manufacturers will find it harder to compete and will exit the market, which will create an opportunity for larger global players to expand the market share. We expect global installation to fall by around 25% compared to estimation at the beginning of the year due to impact the coronavirus pandemic is having. Our order book for the year remains strong and shipments rolling out allowing us to reaffirm our guidance on total solar motor shipments for the full year 2020. Faced with the COVID-19 pandemic, we made the adjustment to the internal production and management process and we facilitated the greater flow of information across our external network, which further improved the efficiency of our crisis management response and information sharing. As outdated capacity is removed from the market and with accelerated adoption of high efficiency premium products by demonstrating partners, standards for PV modules and the components were entered the 500 watt ultra-high efficiency era earlier as expected. This ultra-high efficiency product also set higher standards for wafer quality and cell technology that have been duplicated across supply chain all the way from R&D to the mass production of modules. Technology remains central to strengthening our competitive edge in the market. We will continue to lead the industry in offering innovative products that will generate solid returns on investment for our clients by leveraging our high-skilled R&D team, industry leading research platform and ability to a less produce newly developed cutting edge products. Recently, we launched a new Tiger Pro series module with a maximum power output of 580 watt. This breakthrough will set new industry standard for power generation and efficiency and will support a wider array of installation scenario as a globe accelerates towards great parity. The pandemic is in fact risen technical standards for the industry. The competitiveness of leading players' products will drive further innovation in clean energy technology as well as the world's largest solar module manufacturers. We are developing and adapting our products or project developers, engineering contractors and the design institutes as well as downstream suppliers. Their feedback has been key to assessing and mitigating technical risks when building our market-oriented products, which strengthens our competitive positioning. In short, the pandemic has adversely impacted the industry, but we are still on track to continue generating growth and expand our market share. On capacity side, our in-house mono wafer production capacity was 18 gigawatts in April. Sale capacity reached 10.6 gigawatts by the end of the first quarter including 800 megawatts of ultra-high efficiency N-type cells that have the highest conversion efficiency currently in the other markets. On the module side, module capacity was 16 gigawatts by the end of the first quarter with an additional 9 gigawatts of the new high efficiency capacity expecting to gradually be put into production in the second quarter. We will continue to make further refining to managing cost and efficiency in 2020. Before turning over to Gener, I will introduce our guidance. Based on our current estimates for the second quarter 2020, total solar module shipments will be in the range of 4.2 to 4.5 gigawatts, total revenues will be in the range of $1.1 billion to $1.18 billion and gross margin will be in the range of 16% to 18%. We maintain our guidance on the total solar module shipments for the full year 2020 to be between 8 to 20 gigawatts.
Gener Miao: Thank you, Mr. Chen. The total shipment of solar modules reached 3,411 megawatts, the historical high in Q1 despite the challenges COVID-19 created for our sales and production. Over the past few months, we have been carefully monitoring industrial developments, real-time market trends and firsthand client feedback, which provided us with a detailed understanding of how the pandemic is impacting our clients and allow us to offer better support. At the same time, we launched the emergency response mechanism developed from our experience facing previous challenging and unpredictable market hurdles, which provided us with a flexible and pragmatic tool together navigate during the crisis. The impact of the pandemic is expected to shrink global market demand by approximately 25% in 2020 to 110 to 120 gigawatts. Nevertheless, our high quality products remain in strong demand and reaffirm our finance of annual shipments in the range of 18 to 30 gigawatts. With our order book for the year growing and shipments rolling out, we continue to drive growth. The China market was oversupplied in Q1. Some of the delayed projects from 2019 are now under pressure to complete installation before the June 2030s deadline, which is helping to stabilize market prices lately. New bidding rounds for utility plants in 2020 are expected to start construction in the third quarter, reaching peak installation in Q4. In 2020, great capacity of the solar power connection will reach 48.45 gigawatts. Ultra-high voltage projects are being extensively promoted by the government as a strategically important source of energy integration and power transmission from China's west to the coastal coal regions over the long run. According to the latest policy from China's NDRC, each province is required to set the lowest non-hydro renewable generation ratio ranging from 5% to 25%. In addition, reforming policies in electricity trading and distributed power trading plants will also improve solar power utilization efficiency, accelerating the diversification of China's energy mix. The distribution market in the U.S. has slowed during the epidemic shut down in March, while the construction of large-scale power process still continued as planned. Given the situation, the U.S. Department of Treasury announced that that ITC for renewable investment would receive a one year extension. Just a few weeks ago, Government of Virginia signed a bill requiring the state to achieve 100% of carbon free power by 2045. A number of large scale renewable energy projects continue to be adequately funding from global financial institutions despite energy market facing unpredictable turmoil. Many European countries have begun easing travel restrictions since May. Economies there are bouncing back and business are getting active again. Portugal awarded a 1.15 gigawatt of solar auction in 2019. In early 2020, Portugal announced the another solar auction for 700 to 800 megawatts to be carried out within the year. The Netherland launched a 10-year net metering program to support residential solar and lower annual electricity costs by 9% from 2023 to 2030. According to the regulator, homeowners who are willing to install PV systems will benefit from a reasonable investment returns. Germany also lifted up the 52 gigawatts cap for subsidies of small scale solar projects. The market is expected to recover strongly in 2021. The economic stimulus package which includes renewable energy will soon be having a significant positive effect across the whole Europe. Turning to Asia, the lockdown in India since March 24th, travel restrictions have great links impacted the flow of personnel and materials. The extension of the lockdown prolonged these restrictions, which have further impacted public transportation, project suspension, bidding and the power plants operation. Recently, customs, banks and other institutions began gradually returning to work. Several large utility companies such as SECI and NCPC have extended the bidding deadline for PV power generation projects. In April 2020, SECI extended the bidding deadline for solar projects and a wind solar hybrid projects totaling 8.7 gigawatts. In Vietnam, the lockdown has been lifted which resulted in fewer projects getting back on track. Deputy Prime Minister of Vietnam issued a policy in April to encourage the development of solar power projects. According to the decision, 13 new FITs for all three types of solar energy system and projects, namely floating, ground mountains and rooftop will be lowered. The pandemic in Japan has gradually eased and Japanese government terminated the statement of emergency on May 25th. PV installations still continue, but at a much slower pace with completion of large scale projects delayed into 2021. Marketing in Asia such as Australia, Singapore, Malaysia, Philippines have slowly kicked off. The Brazilian market continued to be significantly impacted by the pandemic, which has affected approximately 70% of the installations. The market downturn has forced the many small installers and the distributors to halt operations and some large scale projects to delay until 2021. Middle East and Africa regions began opening up in June. Some businesses are reopening and the construction activities are returning with limited labor mobility. In conclusion, we are confident in long-term growth process of the PV industry despite all the short-term challenges. Going forward, single solar will continue to adapt our products and services to the need of customers who are increasingly demanding high quality for stable supply and strong brand recognition. The pandemic will accelerate the removal of outdated capacity and leave only the strongest standing. We were recently recognized as a Top Performer of the sixth consecutive year in the PVEL's DNV PV Module Reliability Scorecard and was one of the only two global manufacturers to have been recognized as a Top Performer every year since 2014. Being recognized as a Top Performer once again reflects our dedication and the commitment to the research and the development of high quality PV products. Speaking overall, the obsolete capacity in solar industry is invisible, but high efficiency PV products remain shortly short in supply. Competitive products underpin the marketing added value and overall sustainable development. As a leading market player, JinkoSolar has always been customer oriented, focusing on optimizing power plants design and reducing LCOE. Recently, we launched our latest Tiger Pro series, reaching a maximum power output of 580 watt peak. It took place while online live-streaming with approximately 200,000 people from all over the world participating in the event. Not only did the Tiger Pro series get significant exposure from this, it also acted as a milestone for the PV industry. As an industry turns a page, we will strengthen our position as a supplier of choice with the lowest LOCE, strongest system compatibilities and overall economic value. With that, I will turn it over to Charlie.
Charlie Cao: Thank you, Gener. Results in the first quarter were in line with our guidance, key financial indicators including total revenue, gross margin and net income have increased significantly year-over-year. This is due to the continued increase in the integrating production level. By the end of March, we'll close the sale of the two solar power plants with a combined capacity of 155 megawatts in Mexico, which reduced the total debt by about $421 million. On a wafer capacity reached to 18 gigawatts in April, which will support our expected total shipments of 18 to 20 gigawatts for the full year. Going in to the details, excluding the sales of overseas solar power plants, total revenues were $1.03 billion, an increase of 25% from the first quarter 2019. Gross margin improved to 19.7% compared to 16.6% in Q1 last year. EBITDA was $100 million, compared to $49 million in Q1 last year. Non-GAAP net income was $32 million significantly increased year-over-year. This translates into non-GAAP diluted earnings per ADS of $0.65. Excluding the sale of overseas solar power plants, total operating expenses accounted for 12.6% of total revenues compared to 11.9% in the fourth quarter of 2019 and 12.5% in the first quarter 2019. The sequential increase was primarily due to an increase in shipping costs as a percentage of total revenue associated with a higher percentage of shipments through the overseas markets in first quarter 2020. Moving to the balance sheet, our balance of cash and cash equivalents were $678 million compared to $895 million at the end of last year. Accounts receivable turnover days were for 66 days compared to 94 days in Q1 last year. Inventory turnover days were 110 days compared to 120 days in Q1 last year. Total debt was $1.8 billion compared to $1.9 billion last year, in which $162 million was related to international solar projects. Net debt was $1.1 billion compared to $1 million at the end of Q4 2019. Total CapEx for 2020 is expected to be around $350 million, which is used for the 5 gigawatts certain phase of mono wafer compared to this and additional new 9 gigawatts mono [audio gap] of module capacity. This concludes our prepared remarks and we are happy to take your questions. Operator.
Operator: Thank you. So ladies and gentlemen, we will begin a question-and-answer session. [Operator Instructions] Our first question is from Philip Shen of Roth Capital Partners. Please go ahead.
Philip Shen: The first one is on pricing. So, we calculate an implied module ASP of about $0.30 per watt in Q1 on a blended basis for you. And I think based on the guidance the pricing might be closer to $0.262 for Q2. So, this is just maybe a 13 percentage point of decline. Are we accurate with these numbers? And perhaps you can comments on what we might be missing? Specifically, how much in Q1 did you have from module-only revenue for example?
Gener Miao: Yes, Philips, it's Gener. Thanks for the question. Yes, for the Q1, the ASP compared with Q1 and Q2, we are seeing because of market turbulence and also the pandemic impacts, the market price dropped by around, let's say, 10%. So, if we look into our Q2 pricing, so I -- yes, I think we around that range as well. So, compare with Q1 ASP, Q2 ASP, we're expected to drop by approximately a high single digit range.
Philip Shen: Okay. And then, how do you expect that lending pricing to trend in Q3? Do you expect another drop as well? Or do you see the stability more in Q4? How would you see ahead? Thanks.
Gener Miao: Yes, sure. Our strategy is always to follow the market, so we're not against the market. When we see the market price is dropping, definitely our pricing will drop. That's our strategy. I think everyone will follow that, not only Jinko. So, the number wise, it's hard to define right now, what's the exact numbers for Q3. It's still too early to talk about the Q3 final pricing. But from the observation of the market price size, we did feel the expectation from all the customer in fact they expect the market price continue to drop compared with Q2. But actually when we look into the whole year pricing, I still believe, there will be some bounced back as late Q3 or even early Q4 because expected strong demand in China rush by the year end and there will be shortened supply by that time.
Philip Shen: And then from a housekeeping standpoint, can you share what the CapEx depreciation was, if you want?
Charlie Cao: Yes, Philip, the depreciation -- no, the cost roughly per quarter, roughly $40 million, and the CapEx is roughly $100 million for the first quarter.
Philip Shen: Okay, thanks Charles. And then one bigger picture question. In your prepared remarks, you've commented that the dropped IIT policy should drive capacity lower. Can you comment a little bit more on how you expect this policy to work? And how do you expect this to impact the industry? I can see marginal capacity expansion going away, but I was wondering if you could just comment more on what you see as the impact in this policy and when you expect it to be beneficial? Thanks.
Gener Miao: Phil, you're talking about ITCs, right?
Philip Shen: No, I'm talking about the Ministry of Industry policy to force the industry to have higher efficiencies in the capacity expansion.
Gener Miao: You mean the China manufacturer, let say, the industry standards in, right?
Philip Shen: That's right, yes.
Gener Miao: Yes, Phil, I think this is a national standard and which is continued to encourage the latest technology adoption and there's a lot of thresholds which is a minimum threshold. And if the industry participants want to expand the capacity, I think all-in-all, I think it's a very positive for the industry consolidations and particularly the Tier 1 companies given their technology advantage, and we'll lead the capacity expansion to meet the anticipated sustainable growth and in the near future. And for the Tier 2, Tier 3 companies and it's under pressure. And it's not only from the customer perspective, right. A lot of the Tier 1 companies is leading this product and we are promoting over 500 watts modules, and Tier 2, Tier 3 companies, and they're under pressure. And from the supply perspective and the government want to build with policies, which is -- it's a positive for the leading companies, but negative for the Tier 2, Tier 3 companies.
Operator: Our next question is from Tony Fei at BOCI. Please go ahead.
Tony Fei: Thanks management. It's Tony from BOCI. I have two questions. First is regarding on the order book front. So among the 4.2 to 4.5 gigawatt shipment target for Q2, could you give us some color regarding how much of that will come from domestic orders and how much from overseas? And how about that mix movement in the second half maybe?
Gener Miao: Yes. So, you're talking about future numbers, right. So, I will assume your question is mainly about the China mix during the Q2 and also the rest of years of shipment or plan, right. From my observation, so Q2 number for the shipment mix, China will occupy not a significant number. What we're -- the number range we're looking at is around, let's say, 10% to 15%. So, however, it will rapidly going up, especially when the China market starting to boom by the second half. We expect the ratio will be higher. Even by the peak time of Q4, we're expecting the number could be even 30% even plus. For the total year, our targeted China market, we're still taking a pretty, I'd say, a fair ratio compared with all the other regions we are having, so approximately once a quarter of our total shipment is expected to ship in China.
Tony Fei: And my second question is regarding the financials. So looking at your results in Q1, actually, all the revenue and the gross profit quite in line with your previous guidance, but the net profit was dragged by the change in fair value of some derivative products. So, in the second quarter, actually, we're seeing the RMB is still weaker year-on-year. So should we expect more kind of losses or fair value change changing in a quarter? Thank you.
Charlie Cao: The change of fair value into two parts, one part is linked to the our international projects, the interest swap and that is a significant next impact in first quarter because of order low, even close to zero, the U.S. treasury rates. And I think it's a long time. And it's, the long-term, the U.S. treasury rates is rebounding to standard level. And for the currency, the currency forward currency to lock our sales orders and because the RMB, it is unexpected to be depreciated in first quarter, particularly given the recent tensions between the U.S. and China. And now, the RMB is stabilized and relatively appreciated. So, we don't expect significant impact in the second quarter. And for the financial instruments, I mentioned with two items and we don't expect significant impact in the second quarter.
Operator: [Operator Instructions] Our next question is from Brian Lee at Goldman Sachs. Please go ahead.
Brian Lee: Maybe just a follow-up little bit on an earlier question just on the gross margins. You're getting down about 250 basis points at the midpoint for the second quarter versus the first quarter. Pricing really started falling in late March and April. So, we've heard from other companies that a lot of that volume could flow through more in 3Q opposed to real time in Q2. So, is it fair to assume gross margin is down again, sequentially in 3Q? And then, how should we think about the cadence from there?
Charlie Cao: The decline on gross margin, second quarter reflected the slowing -- the wage demand, particularly from the international market in the second quarter. And factories -- we discussed ASPs in downward trends and given the market situation, recent market situation for ASP is continuing downward. But, however from the cost perspective, we are improving at the same time. So given the third quarter, I think, the second half year, the gross margin continues to be under pressure that's where we are targeting to achieve relatively stable gross margin compared to the second quarter. And because particularly from the -- and we rapidly expand our capacity on mono wafer and we are expecting to improve our integrated production costs soon after the challenge period, and which will offset the net impact of the ASP in the downwards in the second half year.
Brian Lee: Okay. That's helpful. And then, Charlie, just a question around the inventory, I know, past years, you successfully have a pretty big move up in inventory from 4Q to 1Q. It seemed a little bit bigger this year. And at the same time, accounts receivable was pretty flattish. So, this is just a shipment timing issue, I would have thought they kind of moved together. So, are you seeing some cancellations on our modules? Now, you haven’t kind of remarked those. Can you give us some sense of what's happening between the AR and inventory balances here at the start off here?
Charlie Cao: Because we have -- we target 18 to 20 gigawatts, right. It's quarter on average. We are planning 4 gigawatts to 5 gigawatts. So, the inventory levels will be in nature -- by nature, the inventory level will increase and slightly quarter by quarter. And the first quarter, the inventory level is relatively higher because last time we disclosed because the China, the supply challenge, and we have 400 megawatts, 500 megawatts shipped to the second quarter. And throughout the second quarter given the challenge of international demand, we proactively manage our operation and including control the inventory levels. And based on order cancellations or delays, as we swiftly shift our production, particularly to the customers or new customers and reading with less impact from the virus, so in general, I think the inventory levels will be a healthy level. And by given our target 18 gigawatts to 20 gigawatts, we are expecting the inventory level will increase a little bit in throughout the next two quarters.
Operator: Our next question is from Karl Liu at CIBC. Please go ahead.
Karl Liu: I have two questions. The first, could you please give us some color on the order visibility in the three quarter and the first quarter? And so, how would we see if we can see it further like the project which delay or something canceled in the second quarter due to the coronavirus, will it move through the like second half or maybe first half in the next year, so how we look at these things? And the second question is that. We are seeing some strong demand in Mainland China. That's coming from the dual-glasses modules and maybe other way off of high efficiency. So could you give us some more color on our, maybe both the product mix, what we will have in maybe the second quarter? Or how was our mixed coming from the higher efficiency modules and how from the maybe the remaining the normal efficiency modules. Can we have a percentage done that? Thank you.
Gener Miao: So, this is Gener. Thanks for the question. Firstly, about your question about the order visibilities, I think we have developed a very strong order book, over compare with -- I think, I'd say three quarters, older book has been fulfilled. So, we are very confident to achieve our target in 2020. I think that's part of the reason why we keep our guidance in 2020, as 18 gigawatts to 20 gigawatts, as without any change. For the possible market delay, we have seen some of the -- some regions or some countries has showed the tolerance to delay part of the project into, let's say, two quarters even three quarters, especially for some regions like or countries like, especially like India, which was expected to have a installation of over 10 gigawatt in 2020. But with the current lockdown prolonged, we believe the market size will be less than 10 even somewhere around a 5 to 6. For sure, those projects have not been canceled. Majority of those projects will get delayed into 2021. That’s why I think in our previous, let's say, especially our previous speaking, we also show our confidence about the strong demand in 2021. That's also part of our reason why we continue to expand our high efficiency capacity. So, your second question about the China demand, especially the double-glass demand, we see double-glass or dual-glass, the product has, certain I'd say, advantage, especially in some environments. But we do not -- personally I do not see such products have become a universal standard or industry standard product yet. When I look into our Q1 book, we see less than 5% of our total shipment is double-glass. And which is, let's say, very, very few number compared with total shipping with China demand picking up in the second half. We believe the ratio will be higher, but honestly speaking, I do not believe such product will become a standard production in short-term. But in long run with more technology challenges to be solved. And I believe such product has a promising future.
Karl Liu: Yes, yes. I have two follow-up questions. The first is that you like, for example, the order from the India is delayed for like two or three quarters. So will that be renegotiating on our module's price? Or we will order this or ship this on previous setting price? That's my first follow-up question. And the second is that, maybe I should rephrase my question. So I would just make an example on the dual-glass modules in China have high demand. But actually, what I want to ask is that we kind of see a kind of structural demand increase in high-fusion modules. Maybe in China, it is double glasses; maybe in the overseas, it's like a other kind of products. So we also have like Swan, right? It's not double glasses, but it's more lighter. So in generally, how will we see in the low -- high-efficiency modules? Will we see much more higher demand growth than the normal efficiency modules? So how we see that and the percentage change in the first quarter and maybe second quarter? Yes.
Gener Miao: Thank you for your follow up question about project sign, contract signs. So, I think from what I see -- over 95% of the contract signed has been honored. We both parties respect the contractual obligations and we continue with the execution of the contract even we have some academic impact on it. And for sure, very few contracts, that has to be renegotiated or even canceled because of this, we call the force majeure. But we still believe, it's is not, because customer want arbitrage on the market price chain, is really because of what is happening for their project and/or from their homeland. Your second follow-up question about double-glass, we believe that demand in China for the double-glass production is increasing, that's very obvious. Sorry to say, I don't have that presentation number on my hands. We can't give you some feedback after our call.
Operator: Thank you. That's all for today's conference call. Thank you all for your participation. You can disconnect.